Renaud Lions: Good afternoon, good morning, if you’re connecting from U.S. Welcome to TotalEnergies 2024 Results and 2025 Objectives Meeting. We are today in the city in London. I hope that you will appreciate that we brought the sun in London today, and you will appreciate also the view. For the people who want to follow us live, you can connect on our website, totalenergies.com. The program today, we will start with the presentation of the 2024 results with Jean-Pierre, and then we will move to the outlook presentation for 2025 with Patrick. The presentation should last one hour. And then, we will move to the Q&A session where you will be, of course, able to ask all the questions you want. We have, as usual, a dedicated line for the people who could not attend, and we will bring from time-to-time questions online. We should be finished around 04:15, 4:30. But before to start our journey today, I invite Stephane Michel, our President, Gas and Power, to come on stage to launch the meeting with a sequence on safety. Stephane?
Stephane Michel: Thank you, Renaud. Good afternoon, everyone. As you are aware, TotalEnergies is building an integrated power pillar. And like any other industrial activity, this new development is coming with new HSE risk. One of them is the risk of fire and explosion while operating our battery energy storage system or BESS. In the industry, around 15 incidents happen every year, and the most serious one was in March in Japan, where several firefighters were injured by an explosion. Within TotalEnergies, our last incident occurred in 2023, hopefully without injuries. But since then, we have worked on the design specification of batteries. And we have done so with our battery affiliate, Saft, which happen to be one of the top five best suppliers in the world. Thanks to their knowhow, we’ve been able to include new innovative safety barriers that you can see on the slide by adding early detection of thermal runaway to prevent the fire to spread over, by adding as well water fire suppression system in addition to the passive one and by adding extra ventilation to avoid the risk of explosion. In addition, we are implementing now systematically a dedicated training for firefighters on how to fight a battery fire because it’s quite specific. Thanks to all that, we are confident that we can develop our multi-gigawatt pipe of batteries while protecting our people, of course, and by limiting as well the risk on our assets. Thank you.
Renaud Lions: Jean-Pierre? While Jean-Pierre will be on stage, you have the first one.
Stephane Michel: Okay. On safety, sorry. That was for the battery and that’s a good transition for our result in 2024. The first one is on the result on the peers. As you can see on the left side of the chart, the fact that we are continuing progressing and we are actually in the lower, if not the best, of our peers in terms of comparison. That’s one on the left part of our activity. And then you have the right part of our activity, where we have introduced the comparison as well on integrated power peers, comparing our result to the one of the peers in that industry, where you can see that we have been able to progress from above 1-1.5 in terms of trailing in 2020 to 0.78. And that’s today something which is very at the leading edge of what is done in that industry of integrated power that has been realized by working on the technological risk, as I’ve just mentioned in the previous slide, and as well working on behavioral safety with two things; one, the way we operate our facility; and second, the way we build because we have huge exposure to construction work. That was for safety. Thank you. Jean-Pierre?
Patrick Pouyanné: I should introduce in the room because you have all the executive committee members, so but you can identify them. So, Nicolas is just there Nicolas Terraz, Vincent from Refining and Chemicals, Bernard is next to Renaud and we have in the back Aurelien and Namita, which are there. I think I did not forget anybody. Helle is in Japan, so she’s not in London, but she’s probably listening to us. So, Jean-Pierre, floor is yours now.
Jean-Pierre Sbraire: Thank you very much. It’s a real pleasure to be here with you tonight today to present the ‘24 results and the main achievement of the year. So, as you know our strategy, balanced and consistent strategy, is anchored in two years. So, oil and gas, mainly LNG on one side and integrated power on the other side. We have made great progress in 2024 executing this strategy and anchoring free cash flow growth on both pillar, oil and gas and integrated power. So, let’s start with the high main highlights of the year 2024. On the first pillar, Oil and Gas, we started production at five major projects, so Mero 2 and Mero 3 in Brazil, deep offshore Brazil, Akpo West in Nigeria, Anchor in the Gulf of Mexico in the U.S. and Fenix in Argentina. We launched four major oil projects: GranMorgu in Suriname, Atapu 2 and Sepia 2, another two offshore projects in Brazil and Kaminho in Angola. We progressed in Namibia where we are working towards sanctioning the first oil development that Patrick will give you more details later on. In LNG business, we further derisk our exposure to spot gas prices in accordance with the strategy we presented to you during the CMD New York in October. That means that we continue to successfully market our LNG volumes by signing several new contracts middle term with Azerbaijan, representing in 2024 more than 6 million tons a year, mostly with an oil indexation. And secondly, we increased upstream gas integration in the U.S. By acquiring interest in dry gas assets in the Eagle Ford play in Texas. We launched also the Marsa LNG project in Oman, and we became a significant gas operator in Malaysia through the acquisition of 100% of SapuraOMV, which provide us LNG pricing exposure and a platform for future low cost, low carbon growth in terms of production. So, in summary, on this first pillar, oil and gas, we anchored our upstream production growth forecast of 3% per year through 2030 in a cash accretive way. And we record approved reserve replacement ratio above 150%, one of our records in TotalEnergies history. Moving now to the second pillar, Integrated Power. We were very active in 2024 in that business as well. You see on the slide some of the achievements of the year, the main highlights of the year. I will come back on that later. But very important, we reached our cash flow targets to have a cash flow from operation above 2.5%. We are at 2.6% in 2024. And I think, obviously, it’s a very good achievement. Let’s move to a figure. We believe that the Company delivered once again solid results in 2024. In a softer environment, price environment compared to the previous year 2023, the Company generated almost $30 billion, $29.9 billion of FFO, coming from all the different businesses. And you see here the repetition of this cash flow generation segment by segments. First, E&P contributed very strongly to this performance, with the cash flow generated in 2024 at $17 million, benefiting from the oil project startup I already mentioned in my introduction. Integrated LNG business performed with a cash flow at $4.9 million. It was negatively impacted by lower average LNG prices compared to the year before, low market volatility during the first three quarters of the year that impacted gas trading results. But on the positive side, you will see that the Q4 results shown LNG trading performance back to the level of the first quarter 2023. I will make a zoom on that later. Integrated Power continued track records of strong performance through the year with high cash flow year over year, $2.6 billion 2024. Downstream cash flow reflects, in fact, the global weak margin environment, especially in Europe, with refining margins down by almost 45% year over year after the two exceptional years we had benefited from in 2022 and 2023 in relation with the Russian crisis. And we suffered as well from operating operational issues on some of our refineries, especially in France and in the U.S. However, you can see that the downstream cash flow remained above $6 million at $6.1 million demonstrating the resilience of the Company integrated downstream model. Let’s move to the results themselves. So, you see that we posted a net income adjusted net income at $18.3 billion and the IFRS results at $15.8 billion taken into account mostly the impairments we recorded in the course of the year on SunPower and the exit on some African some exploration leases in South Africa, devaluation with our exit from these rocks, fair adjustments and inventory valuation effects. In terms of profitability, we had the ROE return on equity at 15.8% and the ROACE return on capital employed at 14.8% in 2024, which make TotalEnergies once again the number one in terms of ROACE among our peers. In terms of investments, you see the figure. So, we invested $15.8 billion. So, in the range we gave to you between $17 billion and $18 billion. On the shareholder return side, we continue to increase the dividends with a distribution of $7.4 billion in 2024. We executed the $2 billion buyback program per quarter, so leading to $8 billion buyback on, if you consider all the quarters 2024. Globally, that means that the payouts for 2024 reached 50%. Very important to notice that this attractive shareholder distribution was achieved while keeping very strong balance sheets. You see here the gearing we have end of the year at 8.3% or around 9.5% when normalized. Why? Because this figure of 3.8% benefited indeed from positive impacts in working capital for $1.5 billion. So, in summary, we maintain fortress balance sheet while increasing the shareholder return in 2024. On the investment side, we remain disciplined in 2024 as evidenced by this figure, net investments being within the guidance $17 million to $18 million, $18.8 million for 2024. So, we continue to be highly selective in the project we sanction, or we invest in selecting low cost, high return, low emission projects and project resilient full cycles. Patrick will come back on that later for 2025. As you can see with the pie, TotalEnergies has a balanced growth strategy with one third of the 2024 CapEx allocated to new oil and gas projects and $4.8 billion to low carbon energy, mainly renewables integrated power projects for $4 billion. We continue to be active with portfolio management using selective M&A to enhance to aggregate, in fact, our portfolio. 2024 net CapEx consisted of $16.4 billion of organic CapEx but also $4.6 billion in acquisition and $3.2 billion in divestments. So once again, that means that we continue to be very active on that side M&A side. Previously, I described our focus acquisition on the upstream side. And on Integrated Power, our acquisition focused on key deregulated markets such as the U.S, the UK or Germany. I will come back later on that as well. 2024 divestments included in the upstream our exit from Brunei, so the sale of our E&P subsidiaries in Brunei. In downstream, the closing of the second part of the deal with Couche Tard with the sale of retail station in Belgium, in the Netherlands and in Luxembourg. And within Integrated Power, several divestments in line with our strategy to found out our projects at COD when the production is ready to start. Just to give you two examples, so solar and battery project in the U.S. that we closed last December and 50% of our interest in Seagreen projects offshore wind in the UK. Let’s discuss now of each of the business segments in more details. 2024, I think, showcased the depth of our portfolio upstream portfolio. Full of attractive growth opportunities that are translating into project sanction, delivering high return and robust reserve replacements. You have here the list of the main projects sanctioned in 2024. Four main projects on the oil side and two projects on the gas and LNG sides. This project anchored 3% per year accretive production growth through 2030. And very important to notice that we have already de-risked project costs by signing largely lump sum EPC contracts on that project. The chart on the right-hand side of the slides highlights TotalEnergies compelling investment case. We already have the resources to grow underlying production and cash with ultimately supports that will ultimately support dividend growth and attractive shareholder returns. Saying that differently, no need for us to make large acquisition, large M&A to fill any potential gap. Given our consistent strategy, we continue to explore and develop the upstream business. We have maintained a strong and consistent proved reserve life index of around 12 years since 2018. You see here the index for 2024, 12.4 years it was 11.7 the year before in 2023. I think it’s clearly in contrast with some of our peers that posted the decline. That means that Exxon and TotalEnergies are leading the peer group by wide margin in terms of portfolio longevity with a key advantage in the depletion business and support cash flow into the next decade. Also, you have the figure for proved and probable reserves, which are now at €8.5. Saying that differently, we are not a shrinking company, we have been replacing reserves at much faster well, replacing reserves at much faster rates than we are depleting them and at a faster pace compared to some of our peers. In 2024, our reserve placement was a robust 157% of production, up from an already strong figure. It was 141% in 2023. Vast majority was done through organic growth, which translates into a strong organic reserve replacement ratio of 150%. These reserve replacements figures demonstrate clearly the depth once again of our portfolio and that we are successful to replenish it year after year. Let’s move to integrated LNG business. As shown in the chart on the lower left, the results end of the year, so for the fourth quarter, were at the highest of the year and benefited from improved market conditions, so meaning more volatility, higher price. Adjusted net operating income increased 35% sequentially. And the result, we are back to the first quarter 2023 level at over $1.4 billion the two blue bars you see on the chart on the lower left. This performance was driven by 6% higher hydrocarbon production for LNG, an average LNG price above $10 per Mbtu and ultimately LNG trading results that were able to capture higher market volatility. Although this rebound during the fourth quarter, overall, full year 2024 results were negatively impacted by low gas price volatility due to the May ‘4 winter, high stock level, particularly when at the start of the year, low demand and limited trading opportunities due to globally a balanced global LNG market. So, what are our expectation or anticipation for 2025? As you can see in the top left chart, a colder ‘24, ‘25 winter and low end of season storage is expected. The end as well of the Russian Ukraine transit agreement to use the pipeline to import Russian gas is also a factor that will contribute to tighten the market. Tightness in Europe should lead to more competition between Europe and Asia to attract or to capture additional energy vessels, and it will result in increased arbitrage opportunities for flexible cargoes between the U.S. and Europe and Asia. This should benefit TotalEnergies given our dominant regional position in U.S. and our large position as an energy exporter in the U.S. We are number one, as you know in that matter. Moving now to Integrated Power business. 2024 was a continuation of our multiyear track record of performance in that business. It’s a definitely growing business. You see here the progress that we made between ‘21 and ‘24. We have grown Integrated Power into a business that is yielding some results. We are able to increase by nearly 4 times the cash flow over the period ‘21, ‘24, reaching once again our objective to have cash flow in 2024 above $2.5 billion, and ROACE increased from 7% to 10% that was the target we set for the year. In 2024, the Company further enhanced integration in the regulated markets for flexible asset acquisitions. So, we acquired CCGT in the U.S. And in the UK for the year for 3 gigawatts. And in addition, we increased storage capacity, but through the acquisition of a major player in German battery markets called Kyon, the middle of the year. We also have been active in consolidating our renewable portfolio. As part of our found down strategy in integrated power, I mentioned in the manual introduction, we successfully found down the equivalent of 1.2 gigawatts of renewable and battery projects, resulting in $1 billion of CapEx being recycled with more than 10% return. On top of that, the Company acquired VSB, it’s a German based renewable project developer, with a sizable 18 gigawatts pipeline, mainly in Germany, France, Poland, with a closing expected this year. In addition, in 2024, the Company strengthens its differentiated markets offering of Clean Firm Power. For example, you have here two examples. We capture premium pricing for prototyping 3 terawatts of Clean Firm Power to large industrial and big tech companies and through you see here the table. So operating Scope 1 and 2 emissions are down 36% compared to 2015. And on absolute level, you see the figure. Scope 1 and 2 on our operational operating facilities in 2024 were at 34 million tons compared to our target of being less of having less than 38.8 million ton of CO2. In fact, reflecting year on year two opposite movement, two opposite trends. So, on one side, a further decline in our operating oil and gas facilities reflecting emission reduction initiative undertaken over the last couple of years. And in the other hand, the impact of the deterioration of the new CCGT, I mentioned to you, the acquisition we made in 2024 particularly in the U.S. and in the UK. On the methane side, the 50 reduction targets we have to reduce the methane on operation by 50% between gases the level we have in 2020. This reduction target was achieved a year early with 2024 operating methane emission now minus 55% compared to 2020 levels. We achieved this thanks to continuous decrease in flaring and CO2 emission in particular in E&P. And you have here the example of Gabon with the elimination of hot in flaring two years early than anticipated. And we’ll continue to reduce operating methane emissions, and we set a new objective for 2025 with a target of minus 60% compared to a reference 2020. To achieve that, you have different action that will be taken. First, the decision we made last year to deploy continuous detection system across all the operated assets in the Company, that means that in 2025, you see here the figure, more than 13,000 equipments for continuous maintenance tracking will be developed and deployed. Additional technologies improvement will be implemented to further reduce methane emission. You have here some examples to switch gas instrumentation to wear or to replace fair tips. And last but not least, we reduced our lifecycle carbon intensity by 17% compared to 2015, which is better than our initial target of 14%. I think this indicator reflects, as the amount of CO2 emitted per unit of energy sold and which is, in fact, which matter in our industry. This indicator translates perfectly the evolution of our energy mix and the implementation of our strategy, more energy with less emission. And the final slide for this section is the benchmark. So, the positioning, the relative performance of TotalEnergies compared with our peers on four important metrics: so, the proved reserve life index, the upstream production cost, the ROACE, return on capital employed and the dividend per share growth. As already mentioned, our strategy has remained consistent, and it’s allowed us to deliver on results and to remain in the competition very well positioned. Starting with the upstream, our reserve life index increased, I mentioned to you already, from 11.7 years in ‘23 to a very robust 20.4 years in 2024, well on par with ExxonMobil and ahead of the remaining peers, reflecting once again the depth of our portfolio. We have the resources in hands to continue to grow production and to grow the cash flow, the underlying cash flow for years to come. And once again, we do not require big M&A to do that. Moving to the cost, to upstream production costs. TotalEnergies has consistently reported the lowest upstream production, so OpEx per barrel, with 2024 figure below $5 per barrel equivalents of oil equivalents. This is, of course, a competitive advantage that we want to keep, allowing the Company to be resilient even in low price environment. In terms of profitability, we are pleased to report that in 2024, again, TotalEnergies ranked number one. In the ROACE among our peers, it’s the third consecutive year that we achieved this performance, demonstrating once again that it’s possible to be the most profitable major and to be a leader in the energy transition. On the dividend side, so it’s the last graph, the dividend growth -- the dividend per share growth, we are positioned number two at 25% growth over the last five years, which reflects our strong commitment vis-à-vis our shareholder. TotalEnergies maintained, as the dividends between the COVID crisis. It was not the case of all our peers. Some of our peers decided to cut the dividend at that time. And our dividend growth is underpinned by the Company deep upstream portfolio, strong free cash flow outlook and balance sheet with gearing once again at 8.3% and of 24% or 9.5% after normalization. And with that, with that benchmark, I leave a floor to Patrick 2025 outlook.
Patrick Pouyanné: Thank you, Jean-Pierre, for this ‘24, which people say it’s less than before, but the two years before were exceptional for us. So first largest results in the history of the Company, so it’s still a good year. And in fact, again, I said that in ‘23 and ‘22 after the exceptional year, we were entering into a new era because the balance sheet was completely deleveraged. And the succession, in fact, of the last three years, it’s easier for us to implement the strategy we have decided because we went in a world where we have more, I would say, capacity to deploy it. And that’s what we’ve done in 2024. Jean-Pierre, I said it the whole time, we have a deep portfolio of plenty of good opportunities. What I will show you is that in ‘25, what we want to do is not only to grow but also to have to deliver additional free cash flows, which are the most important. That’s why we have this we selected this title, delivering an active growth. And resilient shareholder returns, that’s a program for 25%. Few words about the markets. So, in fact, the old markets, people told me it’s for the title. I think when you look at the field, it’s a little stable. In fact, this line is quite flat, in fact. Okay, it was flat in IOL last year than this year. But in fact, we can say that with two different, in fact environment in 2023, still a very high increase of the demand because the end of the COVID recovery in China. In ‘24, the full year markets were more bearish about the demand. At the end, it’s only 800,000 barrels per day, but all the expectations on the supply side did not materialize, in fact, as it was anticipated. And finally, at the end, the OPEC plus has done a good job to maintain this price, I would say, above $70 $75 per barrel. And I think for when we look to ‘25, I expect IEA, not us, we have no experts say plus 1.1 million barrels of oil per day in oil demand, which will be higher than ‘24. By the way, it’s more or less the average, a little less than 1% that we observed on 20 years. The news from ‘24, by the way, is that the increase of oil demand in India was as big as the one in China. So, we have a new engine of oil demand growth in the world. India is moving to more infrastructure, more manufacturing business model than the one we had in mind. On the supply side, of course, ‘25 strong supply from non-OPEC and the U.S. Policy and the U.S. administration is willing to push this production up. So, U.S, by the way, liquid production in 2024 increased by 700,000 barrels per day. And when we spiked by your way about liquids, it’s in fact more NGLs than oil because in fact most of the liquids production in The U. S, it’s coming from the increase of the gas and all the associated NGLs. The oil has increased by 0.3. We plan for it 0.2-0.3 for 2025. So that’s to have that in mind. Of course, Brazil and we’ll come back. We will benefit from the growth in Brazil, ourselves, Vienna as well. We are not there. We do not intend to be. We are next to Suriname. We’ll see the market, of course, will be a debate I think in 2025 between the U.S. Administration and OPEC plus. So, it will be an interesting debate to observe. We have been a little cautious in the way we approach the year. We put all the results I will show you on the forecast based on $70. We are more $80. But if I can do it at $70 I could do it even easier at $80. So, you will have some sensitivity in the presentation. On the gas, it’s quite different. I think last year, the year ‘24, and we had a very good, I would say weather during last winter or mild weather. And in fact, we ended we exited the winter 2024 with high inventories. And in fact, the full first half of the year, so first, I would say some quite low volatility in the gas markets, around $8-$9 per Mbtu for TTF during six months because there was no real need to replenish full storages. The storages were high. And that, of course, did not help, by the way the capacity not only the price, absolute price was lower, but also a lower volatility which did not help our gas rating to perform. For ‘25, in fact, as you can see, however, is in Europe, this is much colder and you have another element of, it’s not only weather, but you have also the fact that now the transit for Ukraine from Russian gas has been stopped. So, it creates another tension in terms of supplying gas to Europe. And what we observe is that today we are already at this stage, two months only still -- two months before the end of the winter at the lower, we begin to have depleted quite well the storage. And it’s reflected in the forward curve, second quarter ‘25. The forward gas is at $16 per million BTU. So, it’s about $15 per million BTU. So, we anticipate clearly, I would say more volatility in ‘25 higher prices. People could say there will be an additional LNG capacity. It’s quite limited. In fact, when we make the map for ‘25, we evaluate that around 20 million tons of new capacity coming on stream, which means 5%. So, it does not change the fundamental trend. And you will see probably again more competition between European buyers, which need to replenish their inventories and Asian buyers. So of course, for us, there are two spreads which are fundamental TTF minus ERM. And then you have the GKM minus TTF because it’s the arbitration. And with the volumes we have in the U.S, our rig gas capacity in Europe, of course, we can benefit from more arbitration when these spreads are going higher. But what we expect, we anticipate, again we’ll see for ‘25. So, two different environments clearly for gas, LNG and oil. Our KPIs for ‘25, our objectives. I will speak about growth, but then, of course growth is not enough. We need to deliver more free cash flow, and it’s more volume, more energy, less emissions and growing free cash. So globally, our energy production, when I compare the oil and gas and the electrons will grow by 5%. So, we’ll contribute to, I would say, a global supply on the people of this planet, 5% more than 3% growth on the oil and gas and more than 20% growth on the electricity side. And we will reach more than 50-terawatt hour. 50-terawatt hour is halfway of the objective by 2030. And in fact, the electricity production from TotalEnergies will represent 10% of our oil and gas production in 2025. So, it’s for the ones who want to see of the transition. Is it March? It is. It is. It’s reality. It’s rebooking for me a sizable business. And I would say the achievements in the last five years has been quite -- we are on the road map and, I would say, quite a success. So that’s the key. Refining, Vincent will do its most with its teams to have a better utilization rate. I will come back. LNG sales about 40 million tons. We don’t have new, I would say LNG plants coming onstream, so we should be in the range of what we achieved, 40-45. And renewable gross installed capacity, we set this target of 35 gigawatts by end of ‘25 in 2020. I will come back a little bit. We will be there at ‘35. We have ‘26 by end of ‘24, and we have exactly 9 gigawatts which are being built today, 8.9, so maybe 0.1 we’ll miss, but which are being built. So, it’s reality. It’s not just an objective. It’s a matter to deliver, of course, this capacity. But again, more and more, myself and the board, we attach more and more importance to the production of electricity because at the end of results more linked to the production but to growth capacity of renewables. Less emissions. Yes, we continue to make it part of the, I would say, our global agenda. We need to produce more hydrocarbons but with less emissions. So, on Scope 1 and 2, we set an objective less than 37 million tons. Of course, we can say, it’s not ambitious enough, but we have one difficulty we face that we have more gas fired power plant in our portfolio which we acquired in 2024 in the UK, in the U. S, where we run and if it’s colder in France, we’ll have a higher utilization rate, so more CO2. What is important for us is also to see the decrease on the oil and gas operations. It was 35 million tons in ‘23, 34 million tons in ‘24 and should be to 33 million tons in ‘25. The methane, we are clearly a leader on that part. I think it’s a very, it’s an easy way for me for the oil and gas industry to have a real contribution to diminishing this greenhouse gas. It is in our hand. It’s stopped wearing. It’s stopped venting, things which are not high-tech, I would say, close flare. So, we have really embarked the whole company, and Nicolas is really very strong about it. He’s a master of clothes flare all over installations, setting all these continuous equipments for detection of methane like for oil. And I think it’s really, we want to be visitors and the teams are motivated. And last but not least because it’s the marker of our strategy of transition, which is the carbon intensity of the sales of energy. The word sales is missing there. We have reduced it by 17%. We want to continue to we are, in fact, quicker and on the road map because we deliver the, of course the electrons, which are I would say a decarbonizing part of our sales. But last but not least all that because we want to grow the free cash flow, so we selected three indicators. I will give you some others in the presentation. Production cost less than $5. It could be $5, but not, so we don’t need to have a big, I would say, cost saving plan, but we are permanently maintaining. And honestly, the fact that we have been able for the last three years, despite the inflation that we face to maintain this less than $5 is maybe not spectacular, but it is. So, other companies of my peers have engaged in large cost saving plans. I think we’ve done it between 2015, ‘2020. We have the benefit. And today, we are strong with the team, are very efficient to manage this $5 per barrel. So, CapEx, I will come back on it. I’m sure we have question $17 billion 17.5 billion as a range. And cash flow from operations, more than 29 at $70. We’ve done 29.8 so it’s quite an improvement. There is some free cash from additional cash flow. And the objective of my presentation will tell you where it will come from, in fact, so that you can certify that all this balance of all the business model and the strong returns we intend to deliver to shareholders are in safe hands, which is true. So, by the way, the CapEx first. So, we’re through that we gave you a guidance of $18 billion I think in New York on organic CapEx. Today, we came with organic CapEx of 17, so reduction and the global CapEx including M&A of 17, 17.5. Why? In fact, it’s because we’ve done some few -- we’ve done what we worked, in fact. We have to be clear all the growth accretive projects will be developed as planned. There is no reduction on any of the nice opportunities we have in our portfolio. So, I’m completely underline of Darren Woods from that perspective, no change. But at the same time, we have many projects. And so, with Nicolas and we reviewed all that with the teams, not to over sweat the team by continuing to invest in small projects, but focusing the whole company to deliver these large accretive projects by the program. So, it led us, I would say in the effort to find $500 million of small projects, which at the end is plus 50, but it’s a sort of dispersion. So, refocusing because we know also that we have a workforce and we cannot have to do everything at the same time. So, it does not impair the global production profile that we have to deliver to you, but it’s a question of streamlining, focusing the teams, being efficient in the way we spend our cash. The other decision we took to be it’s more in the low carbon molecules. It’s a little lighter. It was $800 million or $900 million in the report of -- $900 million in the report of 2024. It’s only $500 million the budget. We drew some lessons, and we consider today that it’s better in some businesses like EV charging or biogas to have a leverage for equity. We don’t see enough returns in all that, to be honest, in terms allocation of equity of the Company is or full equity is not our priority, and we do some lessons. It doesn’t mean that we don’t continue to do it, but we move to some business models with less capital intensity. It’s not major. On the SAF molecules, we continue in fact the budget we have this big project in Grand Prix with the Vincent team, which will end before year end. So, it’s the end of the project. So, we have done the top. So that’s why also. But $500 million of low carbon molecules is reduced because we drew some lessons. It doesn’t mean we will not continue the SAF strategy. It means that we are allocating our capital and our equity in the best way. So that’s the reason why we came down to $17 billion $17.5 billion. We still are in case of challenging market conditions. We have identified another $1 billion which we could decide to arbitrate during the year. At this stage, it’s not necessary. Power is at $80, $75-$80 so it’s not that situation. So, that’s why I would like to it’s also true that compared to September, we continue to execute the lump sum the EPC contracts and a lot of them are largely lump sum. So, we have security. I would say we have a good vision for 2025 of what we will spend. If they were overrun, it’s not in 2025, it’s more in 2028. So, I hope there will not be. So that’s also why we are confident. And of course, it’s a good work. It’s an effort. But continuing to streamline even more when you have a large portfolio of opportunities, I think it’s a good discipline. So, I announced to you a growth of more than 3% for the upstream growth, oil and gas. In fact, you have here the list of the new projects, the new productions, which represent 150,000 barrel per day. What is remarkable on this chart is that six of the eight projects are already started. So, it’s mainly a matter of ramp ups. We have two projects which have to be to come on stream, Balmor in the Gulf of Mexico and Mero 2 in Brazil, where, by the way, the operator is a little more optimistic than on sale. So, it’s good. By the way, we have our overall characteristic on this slide. You have three gas projects: Fenix, Tierra and Yerun in Malaysia. You have five oil projects. It’s important for the next slide. And by the way, Total is operating four Petrobras three and Chevron two. So we rely on two of our big operators, but nice operators. So, I’m quite comfortable with this figure of 3% because it’s mainly ramp ups, and we are on the way to deliver it. Of course, it’s more important. It’s not only growing production. It’s additional cash flow. And that’s the good news and important news when we look to this file and is that the growth of 3% of our upstream production, more than 3%, will be translated in terms of cash flow from operations by an increase of more than 8%. In fact, this portfolio of projects, of course, the portfolio in Brazil, in the Gulf of Mexico are accretive compared to, and that means that for the same amount of CapEx, in fact more or less the same between the two years organic CapEx, you will have an increase of $1.3 billion of free cash. 8% is $1.5 billion of free cash, which will come from this growth. And I think that’s good news, of course. That’s why we have the board. We are confident in the return to shareholders, and we have decided again to increase the dividend by another 7.7% and the final dividend by 7.6%. So that’s, I think, important within TotalEnergies. Its value over volume is not just growing. It’s also delivering more free cash flows. One of the countries in which is successful from perspective, which will contribute to this additional free cash is Brazil. Brazil, in fact is becoming in 2025 the number one country in our portfolio in terms of cash flow from operations. It’s new. Maybe you did not notice, but in fact since 2015, we have built a portfolio. Today, we will have eight fields producing 180,000 barrels per day. So, it’s a successful story. It’s quite interesting, by the way to build such a position. The average margin at $70 per barrel is about $35 per barrel. And so, in Brazil, we’ll continue to invest because we have two other projects that we sanctioned in ‘24, Sepia 2 and Atapu 2, which will contribute to additional free cash in 2030. But the free cash formula in ‘25 at $70 per barrel will be $1.4 billion and $10 per barrel would add another $400 million. So, it’s a strong position that we have built since 2015. Again, we operate Lapa, Petrobras is our operator on most of that. And we had access to when you look to the history of the cost of access to all this resource. It was in fact quite a good, quite a low countercyclical cost of access. We did not discover them, but between the deals we’ve done with Petrobras in 2015, 2016, then the ToR rounds where we participated with low competition. We managed to be it’s a good demonstration on how to build a strong position in a new country. We have also some exploration potentials. We continue to look to that. The other country on which I want to touch a point because I’m sure we have plenty of questions is Namibia, so I prefer to preempt the questions. Our friends have made some decisions. And in fact, we know to be clear, we share the same partner and we have the data. We have some data sharing agreements between our friends and ourselves. So, we can compare. It’s true that we were probably, I would say, look more lucky or slower or better. But they selected a block where clearly the Venus discovery has better characteristics, petrophysical characteristics. The oil in place density 10 million to 20 million per barrel of oil compared to the adjacent discovery, which was less than 5 million. It’s a fixed reservoir of 8,120 meters. The permeability is not very high. I will come back on it, but it’s 2 million to 4 million compared to, I would say less than 1 million. So, all that makes in fact, the commerciality of this discovery is achievable. It’s in our hands. We are working on it. We have -- that’s why we don’t make any write off because in the country, we want to transform this discovery into production. So probably, we have there at the heart of the system on this eastern on this western part of Namibia Orange Basin. So, there are some challenges. It doesn’t mean it’s not changing. Yes, the permeability is not high. There is high UR. UR in our license, it’s lower than the neighboring one, 500 against 700, so still again. But it means that the challenge is in fact, that you have as we don’t flare, I remind you, we don’t flare, no flaring policy. We have to reinject the gas in the low permeability matrix. So that means that we have we cannot the plateau on which that we’ll reach will be lower considering, but it will be a very longer plateau and a slow decline along the years. So, we are designing today a project of 150,000 barrel of oil per day production. It’s a very light oil 45 API, which is good for its value with a long shallow decline after the plateau. The other challenge is 3,000 meters water depth and 300 kilometers from the coast, but I would say that’s not, but I mentioned them because but it’s not really impacting. So objective and we are is to be able -- I will not tell you less than $20 per barrel, but today, we are confident we can reach $20 per barrel of development costs. And also, of course to continue to minimize our greenhouse gas emissions, we target 15 kilograms of CO2 per barrel on this development. So, on this one, the plan is to move forward. We apply the same ideas than on Suriname, taking FPSO with contracting contractor standards, which have been quite efficient in terms of managing the cost. There are some ideas to optimize, by the way even the design of the FPSO, the contractors. I don’t promise you we’ll sanction it before year end. I know it’s an internal jockey vibe more about beginning first half of ‘26, but it’s an important it’s a good project and on which we are working. So, it’s good news for Namibia and, of course for TotalEnergies. Our neighbors in the North, we are not surprised by their results because the last way we drilled Tamboti was not good. So, we are not surprised that the neighbor in the North did not make any discovery. It’s quite consistent. We are in the center of this ecosystem. I would like to add that we have in fact some potential continued to explore and we so it’s not in the end. Venus is a focus of I would say, the engineering and project teams. But we have to -- we will drill I think, during the second quarter, the rig is under its way Marula, which is a big prospect you can see south of Venus. We have another one on this block in Namibia, which is called Olympe on the next block. It’s a different thematic, but it might be it’s an interesting exploration to drill. We plan to do it either end of ‘25, beginning ‘26 because we would like to have a full campaign between Olympe and then continuing in South Africa. We took some positions on the Orange Basin on the South Africa side where we have two prospects to be drilled. One is called Volstruis and the other one Nayla. So, the permitting process in South Africa is a little longer than in some other countries. The idea is that in -- and ‘25, ‘26, to have a ring coming and drilling these three exploration wells. So, an important year for Namibia for progressing on the project. On integrated LNG, I will not come back on all the comments of Jean-Pierre, who explained you that I mentioned it about the environment for gas price. Yes, we think we have a we might have a better environment, not only absolute term but also in terms of volatility. If we maintain the performance of the fourth quarter, but again, we should -- and the target is to come back to after a year where we are I think at $4.8 billion of cash flow to come back to target 6 not more, but let’s try let’s target $6 billion. And Stephane and his teams are taking actions. ‘25 is also a year for us where we have to progress a number of projects, LNG projects, because which will come on stream in ‘26. It is a case of Energía Costa zones in Mexico and Northfield East in Qatar mainly. And Nigeria LNG ‘27 will be end of ‘26, so little impact on the ‘26 performance, but more for ‘27. So that’s also as you can see, we have six LNG projects which today are being on the way to are being built. And so, this is, of course, another part of the execution efforts of all the teams of TotalEnergies. Last but not least, but I would say a lot has been done in 2024 by with, I would say, this strategy of securing some rent related contract with Asian buyers successfully. It has been done, 6 million tons, a very good achievement. We will continue to work on it because if we have opportunities, as we think, that the market might be, I would say, softened by the end of the decade. It’s a good way to take benefit of it if we have some good contracts which are oil related. So, that’s for this one. A word about integrated power. On this slide, I have only some few figures. I would say, again this year ‘25, we will reach this electronics production will represent 10% of the oil and gas production. So, it’s I think it’s a good block on our road map, all three of our 30 objectives. In terms of cash flow from operations, we say $2.5 billion to $3 billion we made $2.6 billion. We have benefited in the last in ‘24 of -- and ‘23, by the way, of some hedges which we have done because of the high electricity price of ‘22. We don’t have them in ‘25, but we have additional productions. We have new gas fired power plants, so we are confident we could meet again these objectives in terms of cash generation. It’s not written, but maintaining the 10% clear turn on capital employed, even increasing it is of course on the road map of Stephane and his teams. We are working, but I will answer questions. On the downstream, so it’s clear that the landscape has changed. You have on the left the refining margin, the European refining margins, which for us is quite an important, I would say API. The environment has changed in the middle of the year. You can see you have in gray the min and the max 2018, 2021 before the, which is a war. You have where we were in the last, you can see we were in ‘22, ‘23, largely above, but it was, I would say a historic market. We benefited from it. In ‘24, we are back to a sort of normalization, a little low because $25 per ton is breakeven. So, I prefer $35 per ton. As we are optimistic, we have made the budget at $35 per ton. But maybe if you are tariff on Canadian crude oil, we could reach it. Yesterday, it was at $40 so it’s not impossible. Sometimes, you have some events in this planet which can help you. You don’t control everything. But what we should do that’s why we have a target of $7 billion downstream compared to the $6.1 billion this year because there was also some miss to be clear. On the operational side, which we estimate a little less than $1 billion I would say. But we opened, that’s why we seem are really motivated to eliminate this miss, a very poor performance on Donges, which was not in fact running well. We are hoping that it will run again from March. We had some issues on the cracker in Normandy because not because of a cracker, but because there was a storage, there was an accident, technological accident, independent of no wheel, but which affected us. This is solved so we are back to normality. Port-Arthur as well is quite a challenge for years. We have a chance of management with hopefully will deliver better returns. So, it’s a matter of coming back, I would say, on fundamentals of course discipline costs, but also delivering the Energy Efficiency Savings program should deliver $100 million and of course plant availability. So, by the refining, this downstream segment is helped, I can tell you by performance of the marketing and the trading. The marketing is quite remarkable because we sold quite a large portion of German, Dutch, Belgium networks. In fact, the cash flow from the marketing in ‘24 is $2.3 billion. It was exactly the same, but $2.3 billion with these networks. So, we gained we sold them for $3.2 billion. And in the meantime, I see no impact on the cash flow generated by the division. So, it’s quite remarkable, and I can congratulate the team so Bernard. So, at the end, you could tell me we would have done $100 million more, but I like the idea that we cash in these networks in an environment where we are not strategic assets. And at the end, we continue the performance. Trading is doing well as well. And that’s why we target $7 billion, an improvement, but we have some good reasons. It’s not just a margin assumption. It’s fundamentally solving the operational issues we had and continuing to deliver on marketing and trading as per which are resilient. So, all that gave us and I will give you the math but before so the Board of Directors look at it. We have a growth in front of us, a growth of free cash flow. And I mentioned $1.5 billion additional free cash coming at $70 from the upstream growth in 2025. We planned $10 billion. So, it’s a step between ‘24 and 2030. So, it’s a good step. So, this we are confident. We have a strong balance sheet. Board of the directors for the third year in a row decided to increase the dividend by 7%. Here, it’s not in -- it’s not for the full exercise. It’s paid dividend per year. So, that’s why you see 7.2%. But it’s paid in a year. It’s a combination of two exercise and some interim dividends. So, in fact, since for the last three years, we have increased the dividend by more than 20%. So, it’s quite a good, I think, good returns to our shareholders. We have translated the euro per share because our dividend is denominated in euro in dollar per share on this chart because we have served some dollar investors. That’s true that they benefit from higher growth, by the way, at 1.1 in the last two years 1.04 to 1.05. It’s a little lower. But the average for U.S. Investors on ‘22, ‘25 compared to 7.1 for a European investor would be between 6.5 and 7.8. So, I would say it’s not we are it depends on the exchange rate, but it should it’s a strong also nice upgrade. On the buyback it’s a trend chart. So, I don’t know if it’s a Mondrian chart, but we have bars of $2 billion, $2 billion, $2 billion. I told you in New York that we want to maintain the $2 billion assuming reasonable market conditions. The market conditions are very reasonable. So, we maintained the $2 billion. I know there were some question marks among you after the third quarter results, as I leave. But generally, when we announce something, we are consistent. We know what we do. And of course, it has been reinforced by the two the strong low gearing at the end of the year. By the end of the year, we knew that there will be a way to return this draw on the working capital. It came -- it’s not we will try to find a way to normalize it around the quarter, but it has some fiscal effects. 8.3% of gearing is low, but I remind you, we are at 7% in end of ‘22, at 5% end of ‘23, 8.5% end of ‘24. So, the track record under 10 is quite well established in this company. So, we have some room, let’s be clear, and that’s why I want to confirm the intent is to maintain this $2 billion of buyback per quarter. We make some math. You have them on this chart on the left. At $70 we will generate, we told you more than $29 billion. So, we have yes, a deficit and CapEx of course a lower CapEx is helping the, I would say the balance. You have something I would say $3 billion, so you have a gap of 4. It represents 2% to 3% of gearing increase, less than 2.5% of gearing increase at $70. At $80 it’s almost nothing. So, in fact, considering the sensitivity, you have $1 million. So, it’s an equation which I think is fully is quite completely affordable with a strong balance sheet. And that’s why we I confirm to you our intent to maintain this $2 billion per quarter. As I told you, in New York, you have the sensitivity which did not change fundamentally on this chart. So, to finalize to end my presentation. This is the chart we show you in New York. I think more energy, less emission, growing free cash. We just introduced the year 2025 to remind you the framework in which we are to grow the energy production by 4% per year over the six years through 2030. We’ll do it 5% in ‘25. Electricity -- electronics will represent 20%, will be at 10%, halfway in 2025, less emissions and growing cash flow, which I think is very important. What is remarkable is that, as you can see, at $70, $12 per million BTU TTF and $35 per ton, which is more or less $10 per barrel, only different from ‘24 we could deliver a free cash, which is the same at $70 but at $80. And so, at $80an additional $3 billion compare. And again, it’s coming and that’s a strong message I want you to keep in mind. But we grow for value and we grow for effective growth and additional free cash flows to feed the returns to our shareholders. And the last slide did not change. It’s very consistent in TotalEnergies. We are I strongly believe in energy world, but consistency in this sense in terms of strategy. So, to be resilient is important. We have -- and it’s a result of however for our team a very deep stream portfolio. And you’ve seen it through this 157 renewable reserve after 141 last year, which will anchor the growth of our production for 2030. On LNG, we are in good position, very well positioned with the U.S. With European positioned to benefit from arbitrage, and this is what the teams of Stephane are doing. Integrated power is underway on the roadmap that we set. And I gave you all the elements of the financial framework to support this strategy. Thank you for your attention, and I will be happy to answer with Jean-Pierre and with all the executive committee members in the room to your questions.
A - Renaud Lions: Okay. Let’s move on to the Q&A. So maybe Henry, yes?
Henry Tarr: Hi. Thanks for taking my question. It’s Henry Tarr at Berenberg. Just a couple. In Namibia, I think you mentioned sort of Tamboti perhaps not living up to expectations. If you could give a little bit more color on that, that would be great. And then just on the LNG business, what flexibility do you have this year in terms of sort of cargoes that are available to drive that incremental cash flow in integrated LNG?
Patrick Pouyanné: Okay. Tamboti, Nicolas, you want to answer? You need to take a microphone or otherwise nobody will listen to you.
Nicolas Terraz: So, Tamboti, there was oil pool. We performed a test of the well. Permeability was lower than Venus. So, what Patrick explained, moving to the north. So, the well did flow but limited flow. So less good than Venus basically.
Patrick Pouyanné: But there is no commerciality, to be clear. So, it’s not we cannot think to connect Tamboti to Venus. Game is over on Tamboti. And in fact, it was a risk we knew because when we drilled one of the Venus well appraisal, we saw in the north some degradation. So, I mean so but we wanted to drill it because it was a sizable prospect and in case it could have been an additional. But the petrophysics are poor, I would say, are more in the same type of range, but what has been written off by some of our colleagues. So, we know the limit in the north. We know the limit on the north and west, so we continue to look to the rest of the block. The one of Stephane, you want to answer to the flexibility you have in your portfolio? Stephane is there. You will have a microphone.
Stephane Michel: Yes. So, the flexibility that we have in the portfolio is, as you know we have a supply that is largely coming from the U.S. And those U.S. volume can either go to Europe or Asia. And as Patrick mentioned, the spread between GKM and TTF should be quite volatile because of low stock in Europe. So, we expect people to fight for that LNG. So, we will be able to divert the cargo depending on the best market from that U.S. position.
Patrick Pouyanné: When we have a long-term contract, generally, we are close to redivert the cargoes with some profit sharing, so it’s quite flexible. In fact, it’s the advantage to be a company portfolio. And we have very gas capacity in Europe, I remind you, 20 million to welcome to take all this LNG. So, this is the infrastructure is helping us from this point of view.
Michele Della Vigna: Michele Della Vigna from Goldman Sachs. Two questions, if I may. The first one is on tariffs, clearly a very hot topic at the moment. You’ve got exposure to various parts of the U.S. energy value chain, renewables LNG plants. Is there any area where you would see potential tariffs as being inflationary from your CapEx perspective? I’m thinking especially the value chain of the LNG plants, but also perhaps some parts of your downstream business there as well. And then secondly, on gas, there’s a big debate about summer in Europe with potentially Germany forcing 90% inventories by the end of the summer. Do you see the market being able to do that or a potential repeat of 2022 with a hard competition on price with Asia?
Patrick Pouyanné: On the second one, I think it’s clear. But for me, we have that’s why my message. I think with the situation of European storage, if we are too aggressive to replenish our storage and we don’t give them a little more time. And the situation is not exactly the same for Germany because we have more free gas terminal today. In ‘22, we are all afraid not to have we are trying to put maximum storage because we had a lack of infrastructure. In the meantime, we have built some we have bought some floating units In Germany, you have 5 million tons of capacity, but also in France, we have one. So, we have more infrastructure. So, I think the situation should be a little more. But if we go to rush, the only way to rush is to take the LNG from Asia and to pay more. And again, it could be inflationary. So, I’m we have to so I think today, yes, we have a risk of that. I’m not sure it’s not good for European customers or European LNG player like TotalEnergies, not necessarily bad. But up to us to also for me, the situation is not again because we have built some infrastructure. So, the Europeans could should take that into consideration. And not just because in ‘22, we are super afraid. We had a lack of re-gas capacities on the continent. Today, we had some of them. Not everything, but we have more. And so, it’s still there. So that’s the point. But yes, I think that’s my message. I think there will be some we could have higher prices gas prices and tensions. And again, the spread between that’s why the arbitrage from the U.S., which even because of the Panamax channel is even more. That could be another element of the puzzle. On the tariff, we are entering a new world. I said that to the board yesterday. None of us have never worked in a world of tariff or tariff wars. It was the old world. We have built a global world with almost no tariffs, so we thought everything was easy to move. I mean, I think we have pragmatic guys by the way. They are able to take decision and to change their mind, which is good leadership when you are able to see that you could have some points. We could have some difficulties. It’s true that you have some spare some value chains, but it’s true for not only for refining or downstream, it’s true for car manufacturing. A lot of spare parts are moving across the border between Mexico and the U.S. So, you could have this type, which is a trend, which is not a good news. You could have also some good effects for European refiners. If you have a tariff on heavy crude oil in Canada, you will benefit of it. So yes, it might have your effect. At the end of the day, I think my view is that U.S. Administration will be pragmatic in the interest of the business people. It’s fundamentally it’s a country where business is first more than in Europe. In Europe, we can shout, but you don’t listen too much to us unless we take strong decision. In the U.S, we are more open to that, including the President. So, I say let’s say, today, you have a sort of I think ‘25 will be a little shaky, so let’s be ready. But maybe the best for us is to sort of not to take too quick decision in the wrong way, to observe what will remain clearly policies in place. It’s the same, by the way for the fiscal policy in the U.S. for renewable, but let’s see what will happen in the Congress. Again, I was looking I asked this morning to -- Stephane give me the map of the federal lands, which are forbidden for onshore wind. Texas, there is no federal land at all, just to be clear. It’s the Rockies. It’s the part of the federal lands and when we cross in the history of the U.S., we went beyond the Rockies. So, I mean, let’s observe what will happen. I think the best my view is that we need to observe, not to overreact, and to let this coming six months will give us more answers to many questions to the enthusiasm at the beginning of the administration. But it’s true that we might have to adapt, and we are not all, what we have designed. The supply chain has been designed not only in our industry, but in our industries as a world with no tariff or very limited ones. So suddenly, if you disrupt it, you might have bad effects, but also maybe some good effects on the other side. Let’s observe. But I take your point, and yesterday, I said to the board, we have there. We have to be able to be very adaptable and to react to look at it.
Renaud Lions: Okay. Martijn?
Martijn Rats: It’s Martijn Rats from Morgan Stanley. I have two questions, if I may. I wanted to ask you about Suriname. So, starting in Suriname in a recent bond offering suggested a level of CapEx for the project that was perhaps a little slightly higher than what we sort of generally understood. And I was wondering if you had a comment on that, whether you’re comfortable with the CapEx in Suriname. And the other thing, I wanted to ask you is about trading. It’s a bit of an open-ended question, but of course trading was very, very profitable generally in the industry ‘22, 2023, came down a lot in 2024. But it’s hard to know exactly how much. Can you perhaps say a bit about how do you -- how the earnings evolution of trading has been and more broadly what your ambitions are in in that business going forward? How you see that business changing?
Patrick Pouyanné: I don’t know where the budget is $10.5 billion as we mentioned that in September, there is no change at all. So, I don’t know -- that’s only maybe is using it. They have a small production or to leverage some money some cash. I don’t know. So, you have to ask them a question, but there is no change at all. There is no impact. No, no, we are very close to them and we are monitoring them. So, no -- there is no impact, no new elements compared to the budget we gave you. So, from this perspective, let me see. On the trading, in fact, honestly there are different things. We have been quite open to you about the gas trading. On the oil trading, in fact that’s true that it was an incredible year in ‘22, but the year ‘24 was a strong year, was a good year on our side. You don’t see lower but strong in fact nothing even higher than it was before ‘22 than ‘21 when I compare the results. So, I think the teams have adapted. Well, it’s really linked to the volatility of the markets. Traders, they complain where things are flat. They don’t know what to do. It’s flat, so we don’t like that. When it’s a little more, Rocky Mountains they’re happy. So, for me on my side, I’m not sure I’m competing with them. But no, but it’s -- I mean, it’s as we said, it’s a strong contributor. We don’t ask them to take more risk. It’s up to them to manage their business. And if they do better results, they have a better pay. That’s quite easy. So, we have a strong motivation.
Renaud Lions: Biraj, there, please.
Patrick Pouyanné: But on the old side, there was no miss to be clear, no miss.
Biraj Borkhataria: Thanks for taking my question. It’s actually maybe for Stephane on integrated power, but there’s obviously a lot of excitement around data centers and power demand associated with that. I was wondering if you could just give some of your perspectives on what you’re hearing from the customers, what are they looking for? And in particular, could you just do a little compare and contrast across the regions you’re in U.S, Northwest Europe and maybe Asia? Thanks.
Patrick Pouyanné: Stephane might compliment. I think several comments. First, on our side our business model Integrated Power is linked to the combination of renewable and flexible assets. And we strongly believe that this market, what we call the Clean Firm Power, we managed to sell. We have been effective, and we sold 3.3 terawatt per year at this stage to different customers, 25% to [Indiscernible] by the way. So, we begin to enter into U.S. market. There is more to be done. The figure I gave you, it’s when we sell as TotalEnergies. If I add I’m adding the Clearway sales because we are also non-operated assets with Clearway, it’s 7 terawatt per year. So, we benefit somewhere from this market. But what we are looking at, we are not in the infrastructure business. So, investing in gas fired power plant in a big part of data centers and gas fired power plants, which is a sort of infrastructure with I would say return, which is an infrastructure return a sort of regulated business. It’s not what we are targeting. What we want is to offer, and we have some still some dialogue. We have dialogue with some hyperscalers about of do you combine renewables, gas fired plant, pickers and batteries. The renewables in fact are lowering the cost because when we use renewable, it helps to lower the price at the end for the PPA. So, it’s a source of cheaper electricity. But of course, if they want a 24/7 reliability, we need to combine it with CCGT because batteries. And this is a combination where we think we can not only have a reliable electricity, but also a cheaper one, which is honestly what they target. Of course, today they want a lot of volume. They are all shouting, but they don’t have enough. But if it’s expensive, I’m not sure they want to get it. The other point where we have -- I’m listening to the concept, which is coming in the U.S, about big data park, I would say or huge park combining several gigawatts plus in our dialogue we were discussing with Stephane again yesterday or in our dialogue about with hyperscalers, they attach a lot of value to the reliability. And the reliability is not coming only if you have an independent, I would say, park independent from the grid, but that does not mean a reliable system. So, some hyperscalers that we discussed are willing to have the connection to the grid as well. And the grid not only so it’s a grid where you would be able, in case of unreliable supply from your own sources to bring to withdraw, I would say, electricity from the grid. So, it’s more this business in which we are, this integrated business, taking benefits of the assets, but just building capacities as an infrastructure. But maybe Stephane wants to add on my comments to give some complement to what I just explained. So yes, we look at it, but more in the dynamic of what we could integrate it and Clean Firm Power.
Stephane Michel: Yes. Just to add on what Patrick has said, just on the geography of it. There is a clear focus on the U.S. First and notably in Texas, where we have a large presence. And as Patrick mentioned, where we can offer a blend of renewable picker CCGT and batteries, that’s one. And we start to see an interest as well on some European countries, notably Germany where we have tried to develop our presence. The good thing as well is that in the U.S., there is a clear focus on time to market and one way to be able to deliver on the ‘28 target ‘29 target is clearly to use existing pipe and the construction asset. Otherwise, that’s going to be quite challenging to deliver on time.
Patrick Pouyanné: Your idea is that in the sense that today when you build some new farms, you try to have the connection in both ways?
Stephane Michel: No. That’s not for tomorrow, but the day after tomorrow is that any project we do now, we try to preserve some land to be able to welcome that as under. And at the same time, we ask for the grid connection to supply the grid, we ask to be able to withdraw the power. Because as Patrick mentioned, they need to be connected to the grid for reliability reason. And the idea is that you can only build that on beyond the meter is probably not going to work.
Renaud Lions: Chris, there.
Chris Kuplent: Thank you, Chris Kuplent from Bank of America. Two questions, if I may, Patrick. I think you’ve been powerfully presenting how busy you are growing organically. But nevertheless, I wanted to ask you, where do you think today is it most attractive to buy rather than to build? Where do you see the biggest opportunities in the M&A market considering your ambitions all the way into 2030? And my second question, I’m afraid someone’s got to, ask you about Mozambique. Your 2030 numbers you presented in October were including Mozambique. What can you give us as an update? Thank you.
Patrick Pouyanné: Okay. We don’t need M&A. We have an organic growth. So today, again, it’s not the right time. I think we can sell. We have a divestment program at $70, $80 per barrel. It’s not the right time to buy. We’ll look again, as if we have continued to have opportunities for TotalEnergies in the U.S. shale gas to continue to replenish. We have done two deals, but we need to have more. So that’s remained clearly for me a priority. So, we have good opportunities, and I have teams today, we are looking around and trying to be imaginative and creative. You have some shale oil producer. We have a lot of associated gas with mostly negative value, so they might have a way to make a deal there and we are working with some of them. So, we’ll see this remain and we have today is quite low. So, in fact, it’s quite accessible, I would say, this type of things. Otherwise, honestly, I’m not -- we don’t have a big need. We are working on other ideas. On the Integrated Power, yes, we will continue to acquire, but it’s more recycling capital because this year we -- this is Jean-Pierre, I said it’s a good achievement. We sold 1.2 gigawatts farming down so we’re cycling $1 billion. The target was more around $2 billion than $1.2 billion to be honest. So, we are still -- so I’m -- just I remember the internal market targets, okay. Jean-Pierre is nice, but it’s fine with all his colleagues. But in fact, we are more targeting two. We know what we missed. It was two countries on which we are almost closed and finally we had an issue with the buyer, so we decided not to close it. But so, it’s 2 gigawatt per year. It’s recycling $2 billion. And this $2 billion should always that’s why we are already at the plateau in terms of CapEx in integrated power even if we want to continue to grow. So, this one for me is a matter now. The model must continue to recycle this capital to be able to grow the assets. That’s fundamental. And on this one, I would say it’s quite obvious what do we target. We need in Germany, we need to target some one or two gas fired power plants to maintain, when we’ll have the full value chain, so that’s clear. So, U.S, PGM, things like that. But again, today in the U.S, the gas fired power plants, because of these hyperscalers, they are so expensive. We are lucky to go beyond. So, let’s wait. Let’s wait and see. Today, it’s very fashionable, it could come back. So that’s I would say, this type of example. But it’s not big, big deals, which and by the way, Jean -- Stephan has already consumed quite a lot of his M&A acquisition budget with the VSB deal. But it’s a business where we can tell you we have a lot of ideas. But it’s good for me because we can be selective and fundamentally on this M&A kind of integrated power. More and more together, we know exactly what we want to achieve, and so we have teams are very enthusiastic. But solar in Ireland, I’m not sure it was the best idea of the team. So, sorry for the Irish in the room. I’m not thinking against the Irish, but some strange ideas sometime. That point. The question to Mozambique, yes, Mozambique is more important. On Mozambique, again, I met President of Mozambique. It was not in the press last beginning of last this week, last Monday. I’ve been there to discuss about what it is used. The good news, in fact, there is a huge continuity in terms of the security setup. He kept the energy minister is coming was already there before. It was not Minister, but it was the head of the agency, Defense Minister, all that are the same people. So, I would say continuity regarding these Mozambique LNG projects and the surroundings, there is a will of continuity that’s important. So, in terms of security, the agreements they have with other countries will remain in place, and they are dedicated, I would say to bring the best they can to the project. We have as it’s public. We had a debate with some credit export agencies. I think the one which will be solved quickly is the one on the other side of the Atlantic. I think I would be surprised, but President Trump administration will be against an LNG project they have approved by the way four years ago. So, I think it’s a question of weeks. So, this is important because it was a big part of the credit export. But for Anadarko, we said all that, but it was almost $5 billion. So, once we have this piece this financing is done, I would say. I would remind to some of the other credit exposures. In fact, all of them, but two have approved. The other one that they have signed a contract, but we gave them a lot of money, so I’m ready to exercise all my contractual rights, not me Mozambique LNG shareholders because we are only 26% of it. Okay. And then on the project side, the question is to be able not only to appraise the security on FOG which is fine. On the peninsula, we’re going to build we have no doubt to be clear. It’s even better than it was before because everything has been reinforced, so I have no problem. It’s more the security of the regions, again, which is more for me a question. So, I would like to -- we are looking to the reality and to see some improvements on this part. On the contractor side, they are all ready to start up again. The project is we told you, around $20 billion. It’s around $20 billion so there is no change. So yes, it’s true that each month, which is going through and we were not anticipating to be honest in summer last year, these difficulties with the credit export agency in particular there because there are no signal when it enters into politics. The politics mixed so we are victims. But it’s back on track from my point of view, and it’s a matter of weeks. So that’s where we are. Today, I think we told you 2029, if we lose six months we need ‘29, 2030. But the idea is to be able to do the project to launch the project. And that’s the point. In 2030, to answer precisely to your question in our road map it’s 3 million tons of LNG. So precisely, so it’s not a valid it’s important, but we have other options to activate in our portfolio. So, we don’t have in our plans, ‘24 of Rio Grande or ‘25. So, we might have I mean, -- we have enough the depth of the portfolio the optionality we have on the LNG side, okay, it’s maybe Mozambique in the base case, but not Mozambique, it might be something else. So, from this perspective, I think we have some different cards to play to midyear And again, it’s more the value that I want to have and not just the volume. And I will not sanction we are working hard on Papua. I’m sure I will have a question of Papua. And we are very -- in very good I mean, I would say, strongly unify all forces with ExxonMobil together to find new ideas to relaunch the tender. And again, we are not desperate to make the project, but we are working hard to make it back on track, acceptable CapEx to deliver some value. We’ll see by I think we’ll have -- we have all the offers will come by September 2025, so we should be able to take decisions. But again, there on this one the forces of the two companies are aligned and working together, which is good for us.
Lydia Rainforth: Thank you. It’s Lydia from Barclays. Two questions, if I could. The first one, just on CapEx, because if I think about the change from September, the CapEx side was probably the big change. So just going back to that, well, at what point did you go, actually we need to take it down from 18 to that 17.5. And just that point on the contractors, and it being lump sum, are the contractors still happy to do that going forward and you’re working with them differently, I think? And then the second one was just coming back to the downstream side and the operational issues that we’ve seen there. That obviously is unexpected. These things happen. But is there anything you’re looking at that may be more systemic that you need to go back and look at some of the processes that you have in place?
Patrick Pouyanné: I will let Vincent explaining what he wants to put in place about his availability of the plants. It’s also true to be clear that we have old refineries, I will tell you. And we are not a big fan to invest in plenty of big new refineries in particular in Europe. So, we have also a question of reliability. It does not mean that we don’t have a systematic plan, but that’s how will share with you his action plan that he’s putting in place with his colleagues and his teams. On the first one okay, it’s not a big change. 0.75 out of 17, I know it’s a big change. Yes, maybe you were surprised because you were all thinking that we’ll go above. So, you don’t believe us. You should believe us. I’ve been CEO in front of you for 10 years. I don’t think I didn’t -- I missed a lot of things on this perspective. So should believe us first and not planning that we’ll go beyond. We are in fact we’ve done our job. And again, my I told you the truth is that there was something which was voluntary on these some low molecules where we begin to have our EV charging. We want to have to be more frugal in the way we allocate capital, I would say. Not the program could be developed, but the matter is the way we finance all that. The other part is, again to be pragmatic. We have a number of people. We cannot overstretch them because that is a question of safety. It’s a question of execution. And we had some subsidiaries where clearly, like Angola, we have a lot of things to beat on. And so, we look at the plate and we said they are maybe a little too much. So, let’s arbitrate, let’s focus on delivering Camino and the key matters and not because the guys or people, you have a bottom-up approach and then you try to be reasonable. So, it came to that conclusion, but I don’t see that as a -- I think it’s a good discipline. By the way, it’s proved that but again, we all the opportunities bringing additional cash have been preserved. So, it’s more looking I know, when you spend $18 billion to 500 it’s not a huge management of exercise. It’s a question to maintain the idea, and it’s important because we have a three year in a row at $80 increasing some CapEx. You begin to discipline might be somewhere more difficult to obtain. The fact that we are having this debate, important it’s also true, to be clear that the commitment to what we told to you in September to the buyback is taken into account by everybody. And that’s part also of the margins we want to have. So, you have an impact on us when you make some comments. We listen to our shareholders and to our investors, which is good.
Vincent Stoquart: So, we have a clear plan on availability. Just to make it short. First, we have very good refineries as well, and we have realized that sharing of experience is not fully implemented. To take a very concrete example, the refinery in the U.S. for Arthur is alone in the U.S., and we want to take the best of the best players in Europe and to have, for instance and to be sure that it’s implemented in Port-Arthur. So, we have changed the management. We have people coming from Europe, and we see already the plan delivering the first results. Second axis, in terms of organization, in what I would call the bad players. We see that very often, in the maintenance for instance, the people working on the more long-term improvements, they are cannibalized by the short term. When you have issues, so we need to ensure that these two teams, they are clearly separated and that these particular plants, like for instance, in Donges, they are not always fixing issues rather than working on the long term. We have also realized in some plans that people could focus on these particular equipments of the refineries, which are bringing the best margin. Instead of looking at everything to focus on the high value margin units. And then last but not least, and it’s very concrete and pragmatic, I think that digital today is ready to bring value. We have solutions, and we can improve valorization for instance, for the products in the refineries, thanks to these tools. It’s to make it short, but we have plenty of…
Patrick Pouyanné: I think, honestly, Lydia, I’ll look to the chart, but I put it again. When you have two years of easy profits, I would say, which came from the sky, our refiners, when I was running this business, I would have never thought I would have $100 ton of margins. I think it has also an impact somewhere. It’s why in fact at the end, it’s back to fundamentals, back to the things which we are claiming. So, it’s not critics, it’s just a matter of again, it was very strong very high results. You lose parts of these plants and you have a succession of events. But again, it’s not a matter to sleep, not to react, and that’s the business. It’s not systemic. For me, it’s a question of, again putting back things in normal, and I hope we’ll get the results. Reasonably optimistic on this one.
Renaud Lions: Lucas, here, please.
Lucas Herrmann: Thanks very much. It’s Lucas Herrmann at BNP Exane. Two if I might, Patrick. Liquidity, U.S. share, how have things moved? Where have you got to in terms of the intent to improve it? And second, I guess is just a reminder. I have this horrible feeling. I’ll wake up one day, will probably know about it beforehand that Russia-Ukraine has been resolved. So, it’s just a reminder of what’s the position in terms of legacy dividends, legacy flows that you could potentially recoup over and above obviously regaining control is the wrong word, but regaining access to the cash flows from existing assets?
Patrick Pouyanné: Okay. First one -- first is, I just I will not introduce the debate. It’s not a question of double leasing. I remind you, what we want to do is to have one class of shares, only one which would be introductory market is Paris, and these shares might be traded on both markets from 09:30 a.m. to 6 p.m., I think, in Paris and from 5 p.m. to 10 p.m. in New York. So, it’s a continuous listing of the same class of shares, quickly. That’s why and at the beginning, it’s transforming the ADRs into shares. So, I don’t want to people are using double listing. It’s not a double listing. It’s not two class of shares. It’s and in fact, fundamentally the stock value and when the two markets are open at the same time, it’s just linked by the exchange rate, in fact, okay, so it works. So, it’s not a two double listing, it’s one listing, it’s more continuous listing. Opening yes, access on the U.S. Side to shares and not to ADRs, which are of course etcetera. Where are we? We have set with working hard, a lot of technicalities with Euroclear and DTCC, which are the two, I would say, transfer agents in the system. We have also some banks working with us. So, the technical solutions have been found for all the issues. So, we know if we could vote, we know if we could perceive taxation, so all that is done. Now, we need to go to the legal part. So, there is a -- we have entered into a new phase to translate to write to legal documents. So that means that we are working on it. We see there is a, I don’t anticipate a blocking point, but all that has to be done. So, the good news is we know how to make this continuous trading on both markets’ interaction, but we have to translate that into contracts, of course or counterparts will not have only our topics to solve. So, there is a lot of things. But our view is that our objective, if we clear, is to do it in ‘25, maybe end of ‘25. But if we don’t do it in ‘25, we’d be worried, but we cannot do that. But that’s all it’s clear. So, let’s see, we’ll have some more visibility in the next six months. But it’s technically, we know and we have to find all the solutions to the technical questions we had, including the one which is for example, in France when you buy a new sell a share, you have to pay 0.3% tax. That should be applied to the purchase and sales on the U.S. market. It’s a small detail, it’s not a small detail. So it was, how do we implement that? That has required some, I would say, some developments, some with different intermediaries, etcetera. But we have the solution, so we know how to secure that. So that’s the type of things where we are. It’s not big deals, but it’s a sum of technicality. So, we progress. And again, the board supports unanimously all this move. But it’s again, it’s a continuous listing of the shares, which are primarily introduced in Paris between the two markets. And then that’s the point. Russia, I don’t remind the figure anymore. I know we have around $1 billion somewhere. Somewhere in the system. To be honest in my head, they have disappeared somewhere. I don’t count. I mean, I don’t know why, but I see your question, you are optimistic, but we don’t have any dividend from Novatek for almost one year. They are somewhere there. And there is a funny law in Russia, which is floating, but if you don’t take your dividend after three years, you could lose them. So, there are funny things. They could make one year. So, it’s not very friendly for foreign investors. But honestly, today the point is that today, we as you know the situation everything is frozen from our point of view. Yamal continue to work, and we continue to exercise the contract of Yamal works for the rest. We’ll see. Yes, it’s we have the shares. The shares are somewhere, but I’m not -- for 2025, we did not integrate anything in our even more on the point, but my question to me is when in Europe, when at which point there will be enough LNG capacity in the U.S., ‘27, where Europeans might decide that we’ll get rid of the LNG in Russia. That’s more the question. Again, in the meantime, the 100 days of President Trump would be if I easy manage, I will applaud, would solve not only total energies but for everybody, I would say, more important than for us. So as well, yes. So again, nothing is in all the figures you’ve seen is there is no Russia story except the Yamal flows. But Yamal, as you know, we don’t hedge too much, we don’t hedge Yamal. We have an issue when price are going when we are very low in 2024. So performance of Yamal, which was not hedged, was not as good as it was a year before. It’s part also of what has impacted the I’m not claiming that, but that’s the reality. What has been the performance of the contract, ‘24, we are not as good as ‘23 just because we are more in the spot. If the price is going back, it could be.
Renaud Lions: Irene, there.
Irene Himona: Thank you. Irene Himona at Bernstein. My first question on biofuels, if I may. An industry that had its economics deteriorate substantially last year. A lot of your peers are canceling, withdrawing, impairing. There is some valid concern that we won’t have the soft capacity needed by airlines in 2030. So, I wanted to ask because you’ve obviously converted a number of your units. What do you think needs to happen for that business to economically scale itself up over the next three or four years? My second question specific to the quarter, working capital, we’ve seen a systematic release of material amounts of cash in Q3 ‘23, in Q4 ‘24. So, can we anticipate that happening in future? What is driving it? What is happening there?
Patrick Pouyanné: Okay. Jean-Pierre is the expert of working capital. I’ll try to help him, but not that. First, I think on the SAF let’s come back to there are different ways to produce SAF. There is the easy way, the cheapest way, which is to go from lipids, I would say. Those cocoa, animal fats, different waste, palm oil, things like that. These ones are profitable. And we need to continue to invest because we have this mandate. So, we could have a short then you have other projects, which are honestly for me more critical where we didn’t invest today, which are methanol to jet or going to eSAF, green hydrogen, all that are complex, they are expensive. And in fact, they are not meeting the demand from customers because the airlines are complaining, but they want the cheapest one. And my view is that we can meet the mandates by 2030, 2035 just by remaining on the cheapest technology. So just -- so I understand why some people are canceling some projects, which seems to be on the high side of the capital intensity that I understand. On the other side, I think the difficulty is that it’s coming -- it’s a regulated market, so sometimes you have highs, sometimes you have downs. In 2024, the HBO were quite low priced. Suddenly, you see a depression because there were too many because of the Scandinavian countries, which have changed their rule of games. VSB in ‘24 Germany is helping everybody because they have decided, but all the inventories which we had in our bioquotas have disappeared. So suddenly, you have a luck and so the price is going up. So that’s the difficulty of this market. And you have to navigate it. You have a nice way to make stuff, and that’s the reason I saw why you have some cancellation with co processing. Because the airline industries have discovered have allowed us in fact because it was in fact just a normative debate. Can we make some co processing when you inject used cocoa in a refinery? You produce kerosene. Can you make a mass balance in order to consider that what you have produced is a SAF? So, it’s not a real SAF, but it’s a SAF by aggregation. And we have this year during in July last summer, but it’s acceptable. Why? Because first, it’s much cheaper. But by doing that, of course, they have pushed back the other big projects which are really delivering SAF, the old SAF, I would say SAF, like the ones we will produce are more expensive. So, but just because we were somewhere afraid that we could not have enough stuff, and they are cheaper. So, I think the coprocessing has taken quite a good space in the market. And so that’s also why I think some of my colleagues have said, why should I continue to invest in greenfield projects because if I can produce these products just by combining in my own refinery. That’s part so the game has changed. And that’s the difficulty with these molecules, which are honestly very regulated. They change the way you accept the things, and so you have these markets. So that’s why investing in CapEx, you need to be clear cautious. I mean, you can do it, but on the most efficient projects. And so, I’m continuing to be convinced, but for us it’s not going to fit for sure. It’s just transforming all the refineries, which become old and even not profitable in declining European markets into biofuels. So, for me, that’s a good thing to do. And again, the condition to do that and that’s one difficulty is to find a way to integrate the upstream, because then there is a value in all this used [indiscernible], animal fats, how do you manage? We built a partnership with [Indiscernible], this German company on Grand Prix. We are exploring with them, of course, to enlarge this partnership to more and more projects because the integration is a way to secure the value chain, not just to be the transformer of a fixed cost which could go high and by the way an outlet which could go down. It could be completely squeezed. That’s the economic difficulty. But again, I’m not so afraid. In fact, I think you have a game there. The airline companies, they are shouting they have a lack of stuff because they want the price to go down to produce to provoke the overcapacity. So, commodity business. So, in fact, in our math, when you make the markets, I’m more afraid to have an overcapacity than an under capacity by 2030. I mean -- and for them the game is to say, look, we have luck and then but the conclusion is that in Europe, we have faced a number of difficulties. To be clear in Europe, I explained I discussed it with a commissioner in Brussels, is that today we are accepting SAF -- importing SAF from China, from Chinese. From China because the airline companies are selling, they are black. But when you import from China on which to be sure, but they have all the I mean, they are meeting all the criteria that we do in Europe, investing in Europe in the new units when you have the stuff coming from China in [Indiscernible], somewhere it makes little sense. So, that’s all this it’s a big difficulty for me on these molecules. It’s plenty of regulated elements, which makes a decision of investment not easy. But at the same time, let’s move. So, it’s clear it’s a complex market, but it is a market and which I think we have some good cars to play in this one. If we put together the integration, low CapEx and being sales, it will not be for us a major this will be a source of revenue. I don’t expect that to billions of free cash, I would be clear. But if you can help me to transform some post losses into like we have done in La Mède. We went from minus 100 per year to plus 30 per year, it’s fine. At the end, it’s worth to make the investments just to and because we have jobs, et cetera. So that’s fine. That’s the objective. Working capital, so how do you avoid to make it, it’s good to make it by the end of the year. But I know that we have some systematic issue about fiscals. For example, in Norway, we pay in March, so we have a big draw, big chunk of taxes have to be paid first of the first end of first quarter. For the rest…
Jean-Pierre Sbraire: There is no cash belonging to the Company outside the Company, particularly for your hands. But I mentioned to you during my speech that we benefited under this year of exceptional elements, mainly tax elements. And we just give you one example, we are supposed to receive the bill from the German authorities in relation with capital gain tax, we generated when we closed the deal in Germany end of ‘23. We are supposed to receive the bill during the course of the fourth quarter. We haven’t received the bill. There is no permanent pre recall, so we received the bill, but we will pay in the first quarter 2025.
Patrick Pouyanné: Having said that, it’s clear that the objective is to try to normalize this flow, to be clear. I’m on your page, because I would prefer to see that as a normalization. But I think there were some lessons that we have been drawn by the different my colleagues in order to normalize it. That’s part.
Renaud Lions: Doug, on that side?
Patrick Pouyanné: But you can consider that you can trust by the end of each year that you will have more or less a stable situation. In your models, in your math consider that we are able to do it. We’ve done it several, three years in a row. We know how to do the recipe, and we can repeat it.
Doug Leggate: Okay. Thank you, Renaud. Doug Leggate from Wolfe Research. Patrick, you talked earlier about $70, $80 dollars oil is not a good time to buy things, but it might be a good time to sell things. In your 3% growth target through 2023, what have you assumed? What are the criteria? And I think of a couple of examples as you’re expanding your margin. You still have the UK. The UK has a windfall tax. You have Libya, and it’s growing, and it has a 93% tax. So, what do you think about the things that are offsetting your margin expansion and how does what’s your criteria for disposals? And my follow-up very quickly is on Suriname. You talked about exploration in Namibia. You didn’t talk about the exploration plans in Suriname. I wonder if you can elaborate.
Patrick Pouyanné: Good question. Second one, both questions are good. No, we have we continue to divest some assets. To be clear, we are in ‘25. We have planned to sell in Nigerian assets onshore. So, it’s on its way to be closed, so it will be down. It’s going to present $800 million to $900 million of cash in. So, it’s a big deal. UK, we have worked on it in different ways. We try to find a way to combine fiscal losses with our tax bill. We were not successful. We had some few issues with some partners. I will not, but we are continuing to work on this one and I’m very open to be clear. It’s not a question of barrels. If there are opportunities to save $1 billion of taxation, we’ll do it. Value is more important. Libya, no, Libya, I disagree. Libya depends on the type. In Libya more, I think it’s a long-term position and there is a lot of oil to be developed, not with the presenters, but there are negotiations today. So, we are working on it and I think we can improve the taxation rate in Libya heavily because we are it’s a country where it’s very easy to develop, cost per barrel is nothing, it’s onshore, huge amount of oil. So, I will not forget this position because contract today are high tax, but they will have to be improved if Libya wants one day to develop its reserves. That’s a debate we have with them today with the authorities. So, it’s a matter of continuing. So, UK, I see a little future, to be honest. And by the way, it’s a country where sorry, I’m in London, but we’ll not explore in UK because what happens to our friends, where they have explored made discoveries and today, we have a debate to have the right to develop. It’s just for me it’s not possible to put some exploration money in a country I’m not sure to get the development license. Or I have to go to court. I’m just observing it. For me, I prefer to explore in countries where I’m convinced, I will get the development if I’m making a discovery, which is no more rule of the game. Suriname, no, we have some exploration, but we are completely focused on yes, completely focused. By the way, I think we plan to drill a well, one well, in the Block 64, which is another block. We have two things. In the way, we discussed with the authorities what we call the development area of track value. In fact, the development area is covering all our discoveries, all the trends, and it’s within PSC. So, if we want to explore, to appraise, we’ll offset the cost on the production. So, this part we have secured and we have some because I’m sure we’ll have to come back on some of the discoveries we’ve done to better appraise, to reconnect, etcetera. So, there is some potential. And then, we have another block where we are interested to explore and drill this year. So, we didn’t mention that. But we have taken also, by the way, it’s not public, but two blocks in two licenses in Nigeria, the Niger Delta recently in around. So, it’s a very Niger Delta. In Nigeria, there was no exploration during 10 years. We managed to reopen the box and it’s one of the most prolific delta in the world. So, there are still things to be explored. So, Suriname is more the Block 64 is not the same trend. So, it’s, I would say, more frontier exploration. But then, we have to come back on what we have already discovered and appraised.
Renaud Lions: Matt Lofting?
Matt Lofting: Thanks for taking the questions. Matt Lofting at JP. Just two quick ones. First, Patrick, I wanted to follow-up on the comments you made earlier on trading and just ask specifically on integrated LNG or gas trading, if you can share a sense of the contribution that you’ve embedded into 2025 cash flow and financial targets given the comments you made earlier on the gas market, perhaps, for example, relative to ‘24. And then second, 35 gigawatts of renewable capacity in integrated power for this year strikes me that, that’s incredibly impressive delivery on a target that was set five years ago given the global backdrop over the course of the last five years. When you think forward, though for the second half of the decade, has the Company’s view on the pace and best sources of growth changed at all given the inflation and supply chain challenges that the industry continues to see in some segments, at least, of renewable generation?
Patrick Pouyanné: Okay. In fact, the improvement you have going from $4.9 billion to a target of $6 billion in integrated LNG cash flow, I would say part of it will come from absolute prices, which are higher, but I would say consider that there is an improvement on the trailing gas of $500 billion. Coming back to levels which were more in line. So, basically, the and again, I say that under the eyes of Stephane, who is approving, so it’s fine. It has to deliver, man. But it’s fine. That’s the idea. Again, so that’s an improvement that we expect. So, part will come from, I would say the volumes, which are being developed. We have a little more volume, but also part of the -- I’m probably trading back to more volatility. And again, what we observe on the market beginning of ‘25 is giving us stress that this should be achievable by your teams. Maybe we’ll do more, we’ll encourage them. On the 35 gigawatt, okay. We have a large pipeline of 70 gigawatts. It’s The U. S, Brazil, India, Europe, I would say, but the key markets where we think we can deploy. Question for me is what are more important is, again, a sizable business going to this 50 terawatt hour by 2050, more than 100. I think it’s very important that we have a sizable business and we are on track because we are investing $4 billion per year to develop it. But again, it’s not renewable, it’s a big part of it. We have this major figure of 100 gigawatts. We have the pipeline. Do we want to develop all that? It will depend, of course, of the value of all what is coming. There are permanent opportunities. And in fact, we can’t find a partner. By the way, honestly, the growth capacity for me, if I’m investing the growth capacity in Ireland, I will have a big number but not a lot of results, I can tell you, because it’s running only 11% of the time. So solar in Ireland makes volumes. It’s not very expensive, but the result is not there. So be careful about the volume ID, in particular, in the different markets. Well, I think we have I’m convinced there will be a continued growth with the U.S, for sure. And some big countries in Europe, like Germany and others will be are clear where we have a good chance to continue to grow. So, I’m optimistic that we’ll have a segment which will produce more than 100 terawatt hour by 2030. Renewable capacity of growth one, let’s see how it’s growing, knowing that we are we have also some partners. We are growing it. India will represent, I think, 15 gigawatts 15 to 20 gigawatts. But all of them are not equal, I would say. And it’s that type of things. So, between the -- again, we will continue to invest in integrated power. We have this $4 billion per year as a metrics, which we will maintain. The way we split it between the -- I think the batteries for example will be more important in our mix that we were when we said the one of The UK One. We need more batteries. It’s quite clear to us. But battery is also a way to make to enhance the profitability and the returns on renewables and the gas plants. So that mix is moving, and we are adapting ourselves to these conditions.
Renaud Lions: Kim?
Kim Fustier: Hi. Thanks for taking my question. Firstly, I wanted to ask a quick follow-up on Yamal. In the past couple of months, the U.S. and the EU have sanctioned a carrier shipping LNG from Yamal. Is this affecting your ability to offtake cargoes from Yamal at all? Secondly, on U.S. offshore wind, I think you said back in November, that you’re pausing your U.S. offshore project called Attentive Energy. And you said that’s a four-year pause. So, I’m just curious whether that’s reflected in your low carbon CapEx figure? And then just curious to hear your thoughts on your involvement in projects that are exposed to, at the mercy of political winds that can shift every four years?
Patrick Pouyanné: Okay. That’s life. But the concession is for 50 years. To be clear, that means that, yes, we don’t spend. By the way, the teams, we had 50 development team of 50 or 60 people in New York. We all will be down to five. So, it’s very active. And there is a time not so, I think it might it will come one day. It’s a matter of let’s be patient again on this one. So, there is again, a year of development in offshore wind is around $30 million per year. So, if it does not fundamentally change in the meantime, we have taken more license in Germany. Well, I don’t expect this type of change of policy to be maybe we’ll go through even if there is a change of -- there will be a change of chancellor, but a change of the government majority. I don’t see a change on this strategy or this policy. Yamal, I’m not sure. I don’t remember. Aurélien is the expert or Nicolas. There was -- for me, there is no -- I didn’t see any impact on Yamal on any sanction. I’ve seen some impact on Arctic 2 for sure. But by the way, with Arctic 2, we don’t invest and we are not there. On Yamal, I don’t see Stephane. No, I don’t know which cargo you are thinking to, but we have no impact on Yamal from our side. We didn’t see it. But, Aurélien you want to take maybe you can answer, but I don’t have that in mind. I can tell you, we monitor the Russian sanctions every two weeks, so we have a permanent session.
Aurélien Hamelle: So, indeed, I was going to say for the last three years now, we’ve been monitoring…
Patrick Pouyanné: Every two weeks. We spend thirty minutes on this topic.
Aurélien Hamelle: There’s no sanctions. There are sanctions affecting the Arctic Energy 2 and the value chain of Arctic Energy 2, the supply chain of Arctic Energy 2. So that yes. Correct. And actually, we declared force majeure and taken the consequence of that, but not on Yamal. Not at all, actually. And the ships are not under sanctions for Yamal.
Patrick Pouyanné: You have another question maybe? No, it’s okay. Thank you.
Renaud Lions: So maybe we can take a question online.
Patrick Pouyanné: We have one person and then we’ll go on the phone.
Anish Kapadia: Hi. It’s Anish Kapadia from Policy Advisors. I had question around your net debt and interest costs. So, when I look at the reported net debt versus when you add back some of the other items like the hybrids, the leases, the factoring of receivables, your net debt is then a lot higher potentially $30 billion plus higher. So just wondering, if you’re still when you think about all the other claims on the assets, you’re still comfortable with that debt level increasing? And from an interest and financing cost perspective, can you give a sense of what the increase in financing costs is in 2025, in terms of the combination of traditional debt hybrids and the factoring of receivables, just given you’ve been re terming your debt at a higher level?
Bernard Pinatel: Does it work? Yes. We benefited from very low-cost debts because most of the debt was fixed between the interest rate increased. To give you one figure, it’s largely below 4%, the cost of the debt we have at present time. And hybrid is something completely different. We decided to make some liability management regarding hybrids. But at present time, we consider that as the long-term component in our balance sheet. So that’s why we decided to renew the -- to make some liability management and to renew the tranche that is supposed to mature next in February, in fact. It’s what we did during the first quarter. But honestly, most of the debt is fixed. So, we do not see any strong increase this year compared to the previous year.
Patrick Pouyanné: No. There is no increase in our planning for ‘25 of the total debt, and I don’t see an increase of the debt. And again, I accept what we said about the potential impact of the $3 billion that we mentioned. Okay. We have to go to maybe the phone, Paul Cheng.
Renaud Lions: Paul, go ahead, please.
Paul Cheng: Hello. Can you hear me?
Renaud Lions: Yes, loud and clear.
Paul Cheng: Thank you. Patrick, I think you haven’t talked about on the AI adoption. Do you believe that AI adoption will be important factor for you in terms of driving down the cost and improving efficiency over the next, say, two or three years? And where you see is the biggest opportunity if that is the case? And how much of your investment going to be? The second question is -- sorry, just one second. The second question is that is the U.S. Administration, I know you’re saying that we should watch and see, but clearly that they become lesser friendly to some of the renewable. I think ideologically that they are less friendly to the renewable energy and that they want to promote more drilling in the onshore and also offshore Gulf of Mexico, supposedly, that will make more leases available. Has it changed in the way that how you may want to allocate your capital, especially on the Gulf of Mexico and also that for the U.S. Renewable power business?
Patrick Pouyanné: Okay. On AI, Vincent gave some hints. I don’t know if Namita is there. She wants to have some compliment on it. What I can tell you is that we are it’s important. We will establish in the organization of Namita, which is called OneTech. We will have a specialized line reporting to her about all these digital and AI, I would say tool. We strongly believe it’s a way to not only always occurs to be more efficient. Does it deliver in the next two, three years? I’m not fully sure. It’s programs. We will develop what we call a digital plant program in order to digitally look more systematically. We are thinking to make some strong investments with some we are discussing today with some companies in order to be able to connect all the real time data, which are in our different plants, either all the refineries or the FPSOs in order to connect them and to develop some reverse modeling for advanced processing control. We believe strongly believe that there is a lot of things to win with advanced process control, the APC. In our industry, we try to mimic the physical equation, but it is difficult and it’s difficult to adapt. There is obviously a very strong improvement potential with AI, if you can make based on data reverse modeling, very accelerated and changing conditions in this way. So, this one we have decided at the end of the year, the executive committee level to invest in this segment, to make these connections across the Company and to invest including in terms of developing these, I would say, AI models. So, that’s clear. Does it deliver quickly? I hope so. But we will -- it’s clearly on the top of the agenda. And in the OneTech organization, we’ll be directly reporting to Namita as an individual, I would say line. And not to date was in different segments, different divisions, we want to regroup and to have a clear leader and to drive this move to AI and digital. On the U.S, Gulf of Mexico has always been part of our agenda. You mentioned this year, I mentioned that there is two projects, Ballymore and Anchor, which are where we are contributing. But true that we decided to give up five years ago on one project because we didn’t see the way to develop it in a profitable way. And we are not operator, we became non-operator. But we can be I’m completely on the way to -- I think that there is still some good exploration potential in the U.S. And we have some discussions with some potential partners to invest in Gulf of Mexico exploration. It’s something on which we are ready, but more as non-operator than operator, because finding a lot of money to establish position is not really the best way to optimize our cost. On the renewable, okay, I know and I listen like you to the images or to the slogans. Having said that, if I’m -- just to remind you that during the first presidency of President Trump, the solar, for example was still supported in terms of fiscal support, not at 30% or 40%, but 20%, 24%, which honestly for me is an acceptable level. So, I mean, it’s and I will be I think the debate at the Congress and the Senate between these Congressmen and the administration will be interested because, again in many of these states, which are also Republican states, they see some interest to develop these renewables. Remind you that the grid infrastructure in the U.S. Is not so strong. So, they need to it’s a way also to complement it. So, I mean, I’m optimistic about the fact that it should not impact dramatically the way we envisage the future in the U.S, not only renewables, but gas fired power plants, which of course, I encourage our batteries. I remind you that we made the investments in Clearway before the IRA. When the IRA came, so it was a sort of additional profit to our investment. And the investment we’ve done in Clearway is in line with our expectations. So, we are fine. It was even better, thanks to the IRA. If we are back to previous terms, it does not fundamentally change the way we see the development of this power. But again, the world is not only renewable, it’s integrated power. And the last investment we’ve done in these gas plants are really quite profitable. So, there are ways to electricity demand fundamentally will grow. So, the question is how do you meet this electricity demand in the future years? And all these data centers hyperscalers, they want that to have tomorrow, it will take a little more time. So, it’s a good business when you have a strong demand. It’s worth to continue to find ways to invest in it, just fundamentally.
Renaud Lions: We have Henri there.
Patrick Pouyanné: Henri and then we have Bertrand on the phone.
Henri Patricot: Yes. Hi, Henri Patricot of UBS. Thank you for the update. Just one question coming back to the organic CapEx guidance and the move from 18, 17. Because if we go back to the October presentation, you’re also expecting $18 billion next year and in 2026. So, I was just wondering to what extent the changes that you’ve put through for this year are kind of structural and can see, again, similar organic CapEx in ‘26. And whether the lower spending on some of the smaller projects, you talk about sort of an impact maybe on some of the…
Patrick Pouyanné: You have to wait for September. Year by year. It’s a good question. Again, you can take 17, 18 if you want for 2026 instead of 18. That naturally changed fundamentally the attractiveness of the share of TotalEnergies, but it will help you.
Renaud Lions: Okay. So, we can take the Bertrand question online. Bertrand, go ahead.
Bertrand Hodee: Yes. Hello. Two questions left on the LNG side. The first one on your LNG strategy, the idea as you highlighted it in October is to convert Henry Hub into Brent when it comes to your LNG offtake. Actually, the Henry Hub and Brent $80 above it works perfectly, but it works less so at $4 MBtu Henry Hub and Brent $70 and it does not work at all at $60. My concern is not obviously for 2025 given current LNG dynamics and high spot LNG prices, but it’s more beyond. How do you intend to mitigate an outcome where you will have much higher Henry Hub than you had anticipated? And the second question is more very short term on the LNG. Last year, at $7 $8 per MBtu, we saw a surge in India LNG spot demand, Chinese LNG spot demand. Now that we are at $14 $15 dollars per MBtu, do you see a reverse impact and LNG demand destruction in Asia?
Patrick Pouyanné: No, but again, we have a view on this market by ‘27, 2030. The reality of this LNG market is that there will be some increase of capacity of 100 million tons, so 30%. It’s a reality and maybe it could drive the Henry Hub high, but it will drive the LNG price low. So, the best protection is to move to Brent because again, on the oil, I would be surprised to see oil establishing at $50, $60 for long by the end of this decade. At $50 per barrel, you don’t have a lot of shale oil producer investing. They are already disciplined at $70 so at $80, and the decline is 20% per year. So, I think the fundamental of all this old market is stronger than what could happen on the LNG one. EV and Henry Hub is much higher, what the answer that we need to bring on the energy side is to produce more in the U.S, to have more U.S. gas production. That’s the best protection for me. That’s why we have made two deals and we continue and answer to our friends, but it’s part of fundamental. We need to fill this gap in our portfolio to have more exposure to domestic to and to shell gas or to gas, because to face a situation where you have exactly what you described, higher Henry Hub price and lower LNG, that’s clear. So, this one, I agree, and we intend by continuing to do what we’ve done in ‘25, continuing to stack some different opportunities in order to reach more or less 1.5% BCFD. Demand restriction at higher prices in China and India I would say, the country will surprise me in 2024 is India. In fact, India has increased its demand. I saw the figure this morning, 28 million tons in 2023. Overprice, which was not so low. In fact, they are buying five years ago, I think, same answer would have said $5 to $6. Today, they bought at $10 more or less during the year and an increase of demand. So, India is investing in some gas infrastructure. What will be the reaction of 15-16, but again, 15-16 maybe is for a year, but demand disruption, no. Cautiousness, yes. And I probably it will be a good incentive for these buyers to go again to Brent, which I think is they are more confident and less volatile, in fact from the others. Do you want to add something, Stephane, on this one?
Stephane Michel: No. As you just said, Patrick, India was very strong last year. And so far, based on what I see from January, we don’t see sharp decline of India consumption. So, we have to wait for a few months to see if at 16 that start or not, but yet, that’s not the case.
Patrick Pouyanné: They will be reactive if the price remained in ‘25, is this structural? My answer is no. Any last question? Okay, you have raised your hand. You had a question. I stopped you because Bertrand was coming. So, Lucas, if you want to. If you want to ask your last question to be the last part.
Lucas Herrmann: I’ve got to stand up. It was just a follow-up question. It was simply, why do you factor out of interest? Why do you use factoring as a process? What’s the logic in terms of debt factoring? Because it was going back to Anish’s question earlier. Was there a particular logic to set it to a…
Patrick Pouyanné: It’s not a decision made by the holding level, corporate level.
Lucas Herrmann: Okay.
Patrick Pouyanné: Business by business, we are a centralized organization operational. We just control, but it remains cheap. If it’s not cheap, we say no. We control the cost.
Renaud Lions: Okay. Any last words maybe, Patrick?
Patrick Pouyanné: No. Thank you. I thank you for all your attendance. First, I know Renaud loves to go higher and higher in London. I don’t know if there is a message for the stock price maybe.
Renaud Lions: Yes.
Patrick Pouyanné: We should go higher and higher. So, I don’t know if there is another one to visit next year. Personally, I was one of last year for me was a little better because I had a view. This year, I had a view on tubes, well, on industries. So, but maybe there is a third one. So again, thank you for having attend. I think, honestly, our case is quite simple. We have -- and the year 2024, which last quarter, have reinforced all the fundamentals. And I don’t think you would have a lot of surprise or negative ones in ‘25 from our company. Thank you. Presentation by Aurélien on March 27. It will be a one man show by Aurelien and a Q&A. So, for us who want to attend on the Sustainability and Climate report, Aurelien will be done well on 27 afternoon, I think. Thank you.